Operator: Ladies and gentlemen, thank you for standing by. Welcome to this morning's Belden Inc. Conference Call. Just a reminder, this call is being recorded. At this time, you are in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) I would now like to turn the call over to Matt Tractenberg. Please go ahead, sir.
Matt Tractenberg: Thank you, Joe. Good morning, everyone, and thank you for joining us today for Belden's First Quarter 2014 earnings conference call. My name is Matt Tractenberg, I'm Belden's Vice President of Investor Relations. With me here this morning are John Stroup, President and CEO; and Henk Derksen, Belden's CFO. John will provide a strategic overview of our business, and then Henk will provide a detailed review of our financial and operating results, followed by question and answer. We issued our earnings release earlier this morning, and we have prepared a slide presentation that we will reference on this call. The press release and the presentation are available online at investor.belden.com. Turning to Slide 2 in the presentation, during this call, management will make certain forward-looking statements. I would like to remind you that any forward-looking information we provide is given in reliance upon the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The comments we will make today are management's best judgment based on information currently available. Actual results could differ materially from any forward-looking statements that we make, and the Company disclaims any obligation to update this information to reflect future developments after the call. For a more complete discussion of factors that could have an impact on the Company's actual results, please review today's press release and our annual report on Form 10-K. Additionally, during today's call, management will reference adjusted or non-GAAP financial information. In accordance with Regulation G, we have provided a reconciliation of the most closely associated GAAP financial information to the non-GAAP financial information we communicate. This reconciliation is in the appendix of the presentation and has been posted separately to the Investor Relations section of our Web-site. I will now turn the call over to our President and Chief Executive Officer, John Stroup. John?
John S. Stroup: Thank you, Matt, and good morning everyone. As a reminder, I'll be referring to adjusted results. Revenues for the first quarter were $488.3 million. After adjusting for changes in copper and currency, revenues declined 3.1% from the year ago period. This reduction in revenues was a result of challenging prior-year comparisons and unforeseen adjustments in channel inventory. We estimate this inventory reduction at approximately $12 million. When accounting for this change, revenues decreased approximately 80 basis points from the year ago period, in line with expectations. I'm pleased by our continued progress with gross profit margin expansion, now at 36.1%, the best in class. Operating profit margin of 13.1% was in line with the year ago period. Demand patterns in the first quarter were impacted by severe weather in much of United States. Order softness in both January and February recovered nicely in March, with daily order rates almost 20% higher than the prior two months. Overall, orders in March grew 9% from the year ago period, and the strength continued in April giving is comfort that our full year guidance is on target. It did however impact a number of metrics during the quarter, most notably our inventory and free cash flow measures which Henk will discuss in a moment. We completed the acquisition of Grass Valley and the team is off to a solid start with our previously communicated integration plan. As discussed last quarter, we believe there is an opportunity to improve operating profit margins through the application of our Lean Enterprise technique in the areas of SG&A. Our objective is to reduce SG&A expenses as a percentage of revenue by approximately 100 basis points by year end. We have incorporated both of these items in our full year guidance which I will discuss in greater detail later in this call. Please turn to Slide 3 in our presentation for a review of our first quarter highlights. Gross profit margins increased 160 basis points year-over-year to 36.1% and remains best in class. Operating profit margins were consistent with the year ago period at 13.1%, a solid outcome given the lower volume. And income from continuing operations per diluted share totaled $0.80 for the quarter compared to last year's $0.84 per diluted share. This was a result of interest expense being $0.05 higher than the year ago period. Please turn to Slide 4 to review the first quarter income statement. Revenue for the quarter to $488.3 million was down $22.1 million or 4.3% compared to $510.4 million in the first quarter of 2013. On an organic basis, revenue was down 3.1% year-over-year after further adjusting for changes in inventory at our channel partners, sales declined by 80 basis points from the year ago period. The growth environment remains mixed with improved demand in Europe up 3.7% and China up 5.1%. This offsets softer performance from regions including United States and Canada down 4.5% where the majority of the channel inventory reduction occurred, and Latin America down 1.9%, all on a year-over-year basis. Please turn to Slide 5 for a review of our business segment results. Broadcast revenue in the quarter was $166.5 million as compared to $158.5 million in the year ago period, an increase of 5%. Miranda in particular saw growth of almost 19% on a year-over-year basis. Operating profit margin were 14%, increasing 70 basis points year-over-year and currently at the low end of our corporate goal. Revenue within our Enterprise platform was $108.4 million, down from $116.6 million in the first quarter of 2013, a decrease of 4.5% after adjusting for changes in copper and currency. This segment saw the largest impact on sales from inventory adjustments during the quarter. When accounting for this, revenue grew by approximately 1.7% year-over-year. Operating profit margins were 9.7% for the period, an improvement of 200 basis points from the first quarter of 2013. While I'm pleased with the year-over-year improvement in margin, we continue to see opportunity for expansion within this segment. As expected and incorporated into our guidance, our Industrial businesses experienced difficult year-over-year revenue comparisons. Industrial Connectivity had revenue for the quarter of $159.3 million, down $17.4 million from the year ago period. After adjusting for changes in copper, currency and changes to inventory at our channel partners, revenues were down approximately 4% year-over-year. Operating profit margins were 13.4% for the first quarter, down 60 basis points year-over-year on lower volume. Industrial IT revenue of $54.1 million decreased by $4.4 million from $58.5 million in the first quarter of 2013. Last year's results benefited from large nonrecurring projects in [Asia] (ph). Strong orders in March and April give us confidence that healthy full year growth remains achievable. Operating profit margins for this platform were 16.7% for the quarter, down 90 basis points from last year's period, largely a result of lower volume. I will now ask Henk to provide additional insight into our first quarter financial performance. Henk?
Henk Derksen: Thank you, John. I'll start my comments with results for the quarter followed by a review of our operation and segment results, a discussion of the balance sheet, and close with our cash flow performance. As a reminder, I will be referencing adjusted results today. Please turn to Slide 6 for a detailed consolidated review. First quarter consolidated revenues were $488.3 million. Compared to the first quarter of 2013, revenue declined 4.3% from $510.4 million. After adjusting for changes in copper and currency, revenues decreased organically 3.1% year-over-year. As mentioned by John, this decrease is largely a function of the inventory adjustment made by our channel partners during the first quarter and difficult prior year comparison. We estimate the inventory reduction to be approximately $12 million. Additionally and included in our guidance, our Industrial businesses benefited from several large nonrecurring projects in the first quarter of 2013, with a year-over-year impact of approximately $17 million to $18 million. Sequentially, revenues declined $27.6 million, or 5.3% from $515.9 million. After adjusting for changes in copper, currency and channel inventory, revenues declined 2.5%, in line with difficult seasonal patterns. After a very [slow] (ph) start to the year, order rates accelerated throughout the first quarter as we saw a 9% order growth in March year-over-year. We expect [indiscernible] environment to return to normal patterns given the increased activity in both March and April. Best-in-class gross profit margins were 36.1%, increasing 160 basis points year-over-year and 90 basis points sequentially. The year-over-year improvement is a result of strong performance from our Broadcast platform, productivity improvements within Enterprise Connectivity and a richer mix of products within Industrial Connectivity. First quarter SG&A expenses were $93 million or 19% of revenue. R&D expenses for the quarter were $20.1 million or 4% of revenues. SG&A and R&D expense combined for the quarter were $113.1 million, up slightly year-over-year and down slightly sequentially. As previously mentioned, we have identified an opportunity to achieve productivity enhancements through Lean Enterprise activities, placing us more in line with best-in-class companies. SG&A expense as a percentage of revenue exiting 2013 were 18%. Our objective is to drive this down by approximately 100 basis points by year end, continuing through 2015. We have allocated $18 million to invest in this program, most of which will be used in the second quarter and excluded from our adjusted results. This will allow us to quickly realize the benefit in the second half of 2014, continuing into next year. The process has already begun and we expect the benefit of approximately $0.10 in EPS in 2014, more than half of which will be seen in the fourth quarter, and an additional $0.20 next year. For the first quarter 2014, we recognized $1 million in operating income from equity method investments from our Hirschmann joint venture. This disincline of $1.3 million from $2.3 million on a year-over-year basis is in line with expectations communicated previously. Our operating book margins were 13.1%, flat from the year ago period and down 70 basis points sequentially. The resilience of the business model remains intact, allowing us to deliver attractive profitability level despite revenue headwinds experienced during the quarter. Net interest expense for the quarter was $18.7 million, down $0.8 million sequentially. The year-over-year increase of $2.9 million is primarily a result of our euro debt issuance which took place in March of last year. Our weighted average cost of debt remains at 5.7%. Going forward, we expect interest expense to be approximately $19.3 million per quarter. The adjusted effective tax rate for the first quarter was 21.9% compared to 24.7% in the year ago period, driven primarily by one-time discrete items. For financial modeling purposes, we recommend using a 24% effective tax rate both for the second quarter and full year 2014. Income from continuing operations for the first quarter was $35.4 million, down $2.9 million from $38.3 million compared to the year ago period. Sequentially, income from continuing operations declined $4.8 million from $40.2 million from the fourth quarter, in line with difficult seasonal patterns. Please turn to Slide 7. I will now discuss revenues and operating results by business segment. Broadcast Solutions generated revenues of $166.5 million during the first quarter. Compared to the year ago period, revenues increased $8 million from $158.5 million. Copper-adjusted, organic revenues increased 4.8% year-over-year and decreased 3.2% sequentially, following a difficult pattern we experience in the beginning of each year. By further adjusting for changes in inventory at our channel partners, revenues increased by approximately 5.6% from the year ago period. We are pleased with the performance of this segment and are looking forward to the leverage that Grass Valley will bring to this platform. Operating profit margins within the Broadcast segment were 14% for the quarter, up 70 basis points from 13.3% in the year ago period and down 20 basis points sequentially. The year-over-year improvement is attributed to strong demand for our higher end technologies within this portfolio. Our Enterprise Connectivity segment generated revenues of $108.4 million during the first quarter, decreasing $8.2 million compared to the year ago period. After adjusting for changes in copper and currency, revenues decreased 4.5% compared to the year ago period. This platform experienced largest, approximately $7 million, impact on the inventory depletion during the quarter. By adjusting for this, revenues increased 1.7% year-over-year. Sequentially, revenues decreased $11.8 million from $120.2 million. After adjusting for copper, currency and changes in channel inventory, organic revenues increased 40 basis points sequentially. Operating profit margins were 9.7%, increasing 200 basis points year-over-year and flat sequentially. I'm very pleased with the year-over-year margin improvement, primarily a result of productivity gains driven in the quarter. Our Industrial Connectivity segment generated revenues of $159.3 million during the first quarter. Revenues decreased $17.4 million from $176.7 million in the first quarter of 2013. Order rates in March were encouraging [inaudible] up 13% from the year ago period. After adjusting for copper and currency, revenues decreased 7.1% compared to the first quarter of 2013. Inventory adjustments during the quarter had an unfavorable impact of approximately $5 million. When adjusting for this impact, revenues declined by approximately 4.4% year-over-year. As expected, large nonrecurring project in the year ago period resulted in additional $14.3 million [inaudible]. Sequentially, revenues decreased by $5.7 million from $165 million, in line with difficult seasonal patterns. Operating profit margins of 13.4% declined 60 basis points on a year-over-year and increased 40 basis points sequentially. The year-over-year decline was a result of lower volume, while the sequential improvement was driven by a richer mix within our Connectivity Solutions. Industrial IP segment generated revenues of $54.1 million during the first quarter. Revenues declined $4.4 million compared to $58.5 million in the first quarter of 2013. Sequentially, revenues declined by $4.8 million from $58.9 million. Large nonrecurring projects experienced last year accounted for $8.6 million of the year-over-year decline. This project driven business tends to experience periods of volatility. We don't believe a slow start to the year will be indicative for the remainder of 2014, and point to strong orders growth for these solutions in March, up 9% from the year ago period. Operating profit margins of 16.7% decreased 90 basis points from 17.6% in the year ago period, and 280 basis points sequentially, largely a result of lower volume. At the consolidated level, I'm especially pleased with the best-in-class gross profit margins of 36.1% and operating profit margins of 13.1%, all solid results given lower volume. If you will please turn to Slide 8, I will begin with our balance sheet highlights. Several of our balance sheet metrics were impacted by timing of orders during the quarter as shipment accelerated throughout the period impacted collections and inventory levels. As a result, our cash and cash equivalents balance decreased to $569.6 million at the end of the first quarter. Inventory turnover of 5.7 turns decreased 0.5 turns year-over-year and 0.7 turns sequentially. Days sales outstanding were 57 days in the first quarter, an increase of 3 days year-over-year and 1 day sequentially. Working capital turnover was 6 turns, a decrease of 0.8 turns year-over-year and 3.1 turns sequentially. PP&E turnover was 6.5 turns, a decrease of 0.2 turns year-over-year and a decrease of 0.3 turns sequentially. Net leverage improved from 2.7 times net debt-to-EBITDA in Q1 2013 to 2.4 in the current quarter. Please turn to Slide 9 for a review of cash flow highlights. As a result of the atypical order pattern in addition to normal historical trend, first quarter resulted in a use of cash flow from operating activities of $20.4 million compared to $3.2 million in the year ago period. Net capital expenditures for the quarter totaled $10.3 million, in line with historical trend. Free cash flow was negative $30.8 million in the first quarter of 2014, a decrease of $22.1 million from the year ago period. We are confident that we will meet our full year goal of free cash flow exceeding net income. By context, free cash flow as a percentage of net income from continuing operations over a trailing 12 months at the end of the first quarter was 109%. Dry powder at the close of Q1 was $828 million. Even after completing the Grass Valley acquisition on March 31, dry powder is greater than $600 million, providing the funding needed to execute our strategic plan. Given the amount of Grass Valley transaction in the quarter, we did not repurchase any shares during the quarter. We intend to continue this program which still has [more than $31 million] (ph) remaining under the current authorization. That completes my prepared remarks. I would now like to turn this call back to our CEO, John Stroup, for the outlook. John?
John S. Stroup: Thank you, Henk. Please turn to Slide 10 for our outlook regarding the second quarter and full year 2014 results. Belden's outstanding business portfolio and improved organizational structure provide us with an opportunity to perform well in a variety of economic environments. We continue to emphasize our strategic initiatives, including our Market Delivery System and Lean Enterprise. We also remain confident in our ability to deliver consistent operating results as we continue in 2014. We expect that our second quarter 2014 revenues to be between $585 million and $605 million, and adjusted income from continuing operations per diluted share to be between $0.95 and $1.05. Please turn to Slide 11 for a review of the changes to 2014 guidance. For the full year, we now expect revenues of $2.3 billion to $2.35 billion, and adjusted income from continuing operations per diluted share of $4.05 to $4.35. These expected results now incorporate the favorable impact of both Grass Valley and the SG&A productivity initiatives as well as an unfavorable impact from inventory adjustments at our channel partners and likely lower copper prices. Joe, please open the call to questions.
Operator: (Operator Instructions) Your first question is from Shawn Harrison with Longbow Research.
Shawn Harrison - Longbow Research: Two questions on margins. First off, just the solid gross margin achieved this quarter, how sustainable is that for the remainder of the year understanding the mix dynamics? And then second, as we look at the SG&A reductions, if you could maybe split that up a bit between the divisions, where we should see that fall and when exactly in '15 would you see the full $18 million savings run rate?
John S. Stroup: Shawn, this is John. I'll let Henk comment on the second item. Taking the first item, I think the gross margins that we achieved in the first quarter, those are sustainable going forward. Obviously if we see a little bit of uptick in volume, which we would expect to see from Q1 to Q2, the leverage on that should be helpful, but I think we have a great deal of confidence in the gross margin levels where it's been.
Henk Derksen: And on the SG&A, [inaudible], Shawn, we expect annualized benefit to be approximately $18 million and the focus of the 50% will be on sales and marketing, 40% on back-office activities, and they will favorably impact effectively [all of us] (ph).
Shawn Harrison - Longbow Research: Okay. And when would you expect to see that full run rate number by, Henk?
Henk Derksen: So Q4 this year will be close to by my chart.
Shawn Harrison - Longbow Research: Okay. And then just one final question. John, one of your big distributors, one of your competitors yesterday highlighted improving trends in the enterprise market. What are you seeing there beyond just kind of the uptick in April? Is it improving, do you have kind of more confidence in that market coming back during the last three quarters this year?
John S. Stroup: So the Enterprise business was the business that experienced the most impact from channel inventory changes and it was one of our larger distributors that curtailed their inventory in the first quarter. That has impacted our business. If I exclude that, the order run rate in Enterprise has been good and we expect that business continue to improve. So sequentially, we would expect to see slightly better than typical trend from a sequential basis from Q1 to Q2. So that's an area of the business right now where we're pretty confident.
Operator: Our next question comes from John Quealy with Canaccord Genuity.
John Quealy - Canaccord Genuity: First question, Grass Valley, can you talk about integration, anything you've been doing there and seeing there, will they be included in some of these SG&A activities, and then I'll come for a follow-up?
John S. Stroup: Okay, so the integration of Grass Valley is right on schedule. The team began the process actually prior to the close. We had a significant industry show right after the close, NAB in Las Vegas, where we presented the new Grass Valley with integrated businesses of Miranda and Grass Valley. We've already started the process of integrating and seeing the benefits of scale and synergy in all areas that are working on some of the manufacturing integration. So we're in very, very good shape. The numbers that Henk gave you however are on top of the benefit that we expect from Grass Valley. So, when we communicated the expected accretion of Grass Valley [inaudible] in this calendar year, the $18 million that Henk talked about of cost reduction in the business, that is in addition to the Grass Valley.
John Quealy - Canaccord Genuity: Got it. And so, you guys gave some nice sort of forward looks on order books in some of the other divisions, but Broadcast came through nicely on the P&L, can you generally speak about what parts of Broadcast and looking forward how those order books and quotes are looking?
John S. Stroup: So the order rates in Broadcast accelerated through the quarter. So Broadcast had a very nice quarter and they also accelerated. So, the order rates in March in the Broadcast business were up 13% year-over-year, April up another 7% year-over-year. Certainly the star of the platform in the first quarter was Miranda, up 19% year-over-year, so a very strong quarter, and our PPC business also did very well. They were probably impacted more by weather in the January and February timeframe, but they came back nicely. So I would say, good order trends in Broadcast, and again gives us reason for optimism going forward.
John Quealy - Canaccord Genuity: And then last question, we know we have industrial tough comps through the year. When do they start to tail off in the back half of the year, is it Q4 or Q3 we'll see some goodness or how should we think about those comps going away?
John S. Stroup: Q3 is, John, when we would expect to see the kind of growth rates in both Industrial IT and Industrial Connectivity that we should expect the roll-off of tough comps in both businesses after the second quarter.
Operator: We'll come back to Steven Fox with Cross Research.
Steven Fox - Cross Research: So just following up on that question, John, you mentioned the Miranda numbers. I was curious, can you give us any color on what drove the 19% growth year-over-year and what kind of growth you're now looking for the Miranda business going forward?
John S. Stroup: So the Miranda business, the growth rates I'd say are clearly good execution by the team. So I'm pleased with how they executed. And it has a lot to do with growth in Europe compared to prior year. So we saw some recovery there. We've also seen some nice benefit of synergies from a commercial point of view. But some of it does have to do with the market as well. So you may recall, the first quarter of last year for Miranda was a little tough. So to be fair, we called out the Industrial businesses having tough comps year-over-year. Miranda I think is probably the other side of the coin. We had a little bit easier comps in the first quarter. First quarter of course followed the Olympics of a prior year during the Presidential elections. So, I think we saw some improved market environment for Miranda, but then we also benefit from a number of the large projects that we booked and shipped in the quarter.
Steven Fox - Cross Research: Thanks. And then secondly, in terms of the SG&A focus with some of this restructuring activity, I guess can you just sort of talk about how are you balancing investments also into the sales force, because obviously the Company has been a little bit top line challenged the last several quarters, not necessarily your fault, but I'm wondering if at this point in the cycle how you're thinking about a return on investing in the top line, maybe to gain a little bit more market share coming out of sort of the downturn?
John S. Stroup: It's a great question. So as Henk mentioned, there's really three areas that we focus on, on productivity improvement, finance, some of the back-office functions of the Company, and then also the sales area s well. This is really a result of some of the benchmarks that we've done externally and internally where we have found just redundancies in the way that we invest our money. So it will have some impact on some of the customer facing resources where we have overlapped, but it also will impact some of the areas of sales and marketing where it has to do more with transactions, so customer service transaction, some of the supporting functions. So each of the platforms have done very nice job of making certain that we allocate our investments in the areas of growth and in the areas of high margin, and I think that's one of the reasons we're seeing the favorable mix and the improved gross margin and I would expect that to continue. So it's a very thoughtful approach and exercise and something we've been working on by the way for about nine months.
Steven Fox - Cross Research: Great, that's very helpful. And then just one final quick question just talking about the inventory corrections and the weather in the quarter, it's kind of a chicken and the egg scenario I think, just to confirm, do you feel like those corrections are over with, and given how it was combined with some bad weather during the quarter, does that mean maybe some of your distributors are under-stocked or how you look at the channel right now?
John S. Stroup: So in terms of the channel inventory levels, we have included in our full year guidance that they will not go back up again, and the reason we've done that, the feedback we've gotten from our distributors is that we reduced our lead times and we've become more predictable in our on-time delivery, they are comfortable holding less inventory. So I think this falls in the category of, no good deed goes unpunished. So the fact that we're doing a better job in servicing them is the reason why they are comfortable holding less inventory, which in the long run is a good thing. Obviously in the short run it creates a little bit of challenge. I think that's totally unrelated from the weather phenomenon. I think clearly weather had an impact on our business in January and February, but I think we saw most of that come back in the March timeframe. So in terms of weather creating issues for us, I think it had more to do with inventory turnover DSO rather than stock level.
Operator: (Operator Instructions) We'll take our next question from Matt McCall with BB&T Capital Markets.
Matthew McCall - BB&T Capital Markets: So I think you told on a few of these blanks, but could you go, you made some comments about order rates in March and April, can you just give us kind of a view segment by segment? I think I have most of them but I don't have all of them. Just wondering specifically about the Enterprise businesses – I'm sorry the Industrial businesses.
John S. Stroup: So the Industrial businesses in March saw a double-digit growth in orders year-over-year, and in April when you combine them together, again about 10% year-over-year. So it varies a little bit by platform. But both of them saw significant improvement coming out of February into March and April.
Matthew McCall - BB&T Capital Markets: And I think you gave the Broadcast business, did you give Enterprise, I missed that?
John S. Stroup: No, I don't think I did. So the Enterprise business order rates in March and April were actually fairly similar to where they were last year, so not a big change there, although these order rates are not corrected for changes in channel inventory. So funnel rates of the business have been good and that sequential uptick that we expect in Enterprise, we think that that will be underlying activity in the commercial area to get that done.
Matthew McCall - BB&T Capital Markets: And John, taking it a step further, if we look, if we put all these parts together with the order rates and the tough comps in the Company, can you just talk about segment by segment the trajectory of growth as we move through the year, quantified or even quantitatively?
John S. Stroup: So the second quarter, the Industrial Connectivity and the Industrial IT businesses, as I mentioned earlier, you have difficult comparison, I don't think we'll see the same pressure from channel inventory that we saw in the first quarter. I think it's likely that channel inventory balances in the second quarter will remain approximately the same. In the Broadcast business, I think we'll continue to see good growth year-over-year in Q2, and I would expect the same with the Enterprise business. So, on a consolidated basis, right now our expectation is that growth is going to be approximately flat at the midpoint of the range, maybe up 2% on the high end of the range, and that's largely going to be growth with Enterprise and Broadcast, offsetting the tough comps in Industrial businesses year-over-year.
Matthew McCall - BB&T Capital Markets: Okay, alright. And maybe one on M&A front, can you give us any thoughts on the targeted verticals, targeted product categories, size of candidates that you're taking a look at, what you would be comfortable with, if there's any other details about M&A?
John S. Stroup: So the activity in the quarter on M&A was actually greater than normal, and that was the result of a number of opportunities that seemed to be possible, and they really do fall into all four areas. So we've got activity in all four of our platforms on what we would consider to be highly strategic, outstanding fit companies, revenue size ranging from $60 million or $70 million up to $250 million to $300 million of annual revenue.
Operator: We'll take our next question from Steven Folse with Stifel.
Steven Folse - Stifel Nicolaus & Company: A question on the project weakness in Industrial businesses. Is there a particular geography or in end markets with the focus is that predominantly oil and gas or is something else, and I know that you're going to be facing some easier comps, but outside of that do you see the project business improving in that market?
John S. Stroup: So year-over-year business, the difficult comps that we had in Industrial IT and Industrial Connectivity were a couple of big projects in Asia a year ago. One of them actually related to a big military project in Southeast Asia. The other was a pretty big activity in China on [indiscernible]. And in the Industrial Connectivity side, we saw a little bit of weakness in Europe on a year-over-year basis. So I think it has more to do with activity a year ago that was fairly sizable that had to do with a significant reduction in the quarter this year. So we were very clear about that going into the quarter and incorporated into our guidance. So that happens to be much the way we thought. The thing that happened in the quarter though that we didn't expect was in Industrial Connectivity especially, a fairly sizable deduction in channel inventory that's almost [$18 million] (ph) on a year-over-year basis, and that's really the disconnect between the top line achieved at $159 million and kind of where we thought we might be.
Steven Folse - Stifel Nicolaus & Company: Great, thanks. And then just one more quick one. It sounds like the integration of Grass Valley is going as planned, so is it safe to assume that that $0.50 accretion target that you laid out previously is still intact?
John S. Stroup: Absolutely.
Steven Folse - Stifel Nicolaus & Company: Okay, great. That's all I had, thank you.
Operator: We'll go back to Shawn Harrison with Longbow Research for a follow-up.
Shawn Harrison - Longbow Research: Two brief follow-ups. What's the revenue contribution expected from Grass Valley for the quarter and then also the non-GAAP accretion? And then the second would be just on the buyback, limited this quarter, I think some of that was tied to Grass Valley, but just how you're thinking about buyback activity going forward?
John S. Stroup: So the buyback in the first quarter, the fact that we didn't execute on the buyback was only because of the fact that we had material information for most of the quarter and [inaudible] less to do the buyback. We do expect to continue forward, as Henk said, with the buyback, the [inaudible] in place [inaudible] moving forward. Then on the second part of Grass Valley, Henk will respond.
Henk Derksen: So, revenues for the second quarter, Shawn, [$65 million] (ph), no accretion, accretion of $0.07 in the first quarter and remaining $0.13 in the fourth quarter.
Shawn Harrison - Longbow Research: That's fantastic, Henk. Thanks so much.
Operator: Matt Tractenberg, there are no further questions at this time. Please continue.
Matt Tractenberg : Great. Thank you, Joe, and thank you to everyone for joining today's call, and if you have any questions, please reach out to the IR team here at Belden. Our e-mail address is investor.relations@belden.com. We're happy to help. Have a great day everyone.